Operator: Greetings and welcome to the ABM Industries Third Quarter Fiscal 2018 Earnings Call. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Ms. Susie Choi, Investor Relations for ABM Industries. Thank you. You may begin.
Susie Choi: Thank you all for joining us this morning. With us today are Scott Salmirs, our President and Chief Executive Officer and Anthony Scaglione, Executive Vice President and Chief Financial Officer. We issued our press release yesterday afternoon announcing our third quarter fiscal 2018 financial results. A copy of this release and an accompanying slide presentation can be found on our corporate website. Before we begin, I would like to remind you that our call and presentation today contain predictions, estimates and other forward-looking statements. Our use of the words estimate, expect and similar expressions are intended to identify these statements. These statements represent our current judgment of what the future holds. While we believe them to be reasonable, these statements are subject to risks and uncertainties that could cause our actual results to differ materially. These factors are described in a slide that accompanies our presentation. During the course of this call, certain non-GAAP financial information will be presented. A reconciliation of those numbers to GAAP financial measures is also available at the end of the presentation and on the company’s website under the Investor tab. I would now like to turn the call over to Scott.
Scott Salmirs: Thank you, Susie. Good morning, everyone. Before I begin my quarterly remarks, I want to welcome our newest Board member, Don Colleran. We announced Don’s appointment to our Board yesterday. As you may have seen in our press release, Don is a seasoned executive and currently Executive Vice President and Chief Sales Officer at FedEx. He brings a wealth of experience and knowledge, particularly on sales and revenue generation and we are thrilled to have him on our Board. So, by now, I am sure you had a chance to review our earnings release; and this morning, Anthony and I will provide you some additional detail into our results. We will also give you an update on what we are seeing from a labor perspective and discuss our areas of focus as we work to end the year in line with our outlook and prepare for 2019 forward. Our results for the third quarter were largely as expected. We delivered strong organic growth of 4.5%, which continues to demonstrate our new sales culture. We saw expansion with some of our top clients, particularly in the Business & Industry and Technology & Manufacturing segments, as marquee companies continue to choose ABM as they expand and grow. Additionally, Technical Solutions had a record sales quarter in the U.S. which enabled 14% organic growth. Top line growth remains a key priority for the entire company as our sales team and operation teams work towards ending the year with a healthy pipeline. We believe we can continue the new sales momentum based on the $460 million we delivered in the first half of the year and head towards our goal of $900 million in annualized new sales. We are committed to recruiting, training, and coaching great sales power. In fact, we currently have more than 90 sales rookies who are progressing through our new hire sales academy, and we look forward to their increased contribution over the next 12 to 18 months. I commend all of our teams for continuing to embrace our new sales mandate of pursuing new clients and continuing to cross-sell and up-sell services. Our top sales people span all of our industry groups, and we are enthusiastic about the systemic changes we are seeing across the company. Our GAAP EPS, on a continuing basis was $0.51 or $0.57 on an adjusted basis. These results were in line with our expectations and further demonstrates how resilient we are in a variety of different macroeconomic environments. We were particularly encouraged by our ability to execute across all of our initiatives during the third quarter considering the labor markets have not shown any sign of easing. Let me take a moment to share what we are seeing on the broader labor front. On last quarter’s call, we discussed the acceleration of labor pressures as our economy experienced historically low levels of unemployment for both skilled and unskilled labor. This led to a lower level of qualified applicants and higher turnover which affected wage growth and an overall increase in the investment needed to attract and retain talent. Given that direct labor costs comprise the majority of our expense line, these factors have a meaningful impact on our operations. Unfortunately, pricing is not immediately elastic when you have fixed price contracts, and as we have said before, it will take time before the full pricing environment has caught up to the current labor market. We are in early stages of having strategic discussions with some of our clients to adjust these cost pressures. While it’s only been a few months we have seen a mixed response so far. In some cases, clients are open to positive, proactive conversation on price increases even before the contractual period expires. At the same time, we also have clients who are not opening to revisiting pricing prior to contract expiration. As we manage the next fiscal year, our organic growth will be predicated on retention given the challenging operating environment and the need to increase price on some contracts due to labor-based profitability deterioration. And let me be clear, our outlook on this front has not changed since we started seeing these pressures. This is the natural dynamic within our business, and we are prepared to navigate our retention cycles just as we have in the past. Our priorities will be to grow our business with new sales that adopt the necessary pricing dynamics in today’s environment and managing our retention prudently and responsibly. This underscores the necessity for the investments we have made and we will make in the future as part of our 2020 vision strategy. On past calls, we have mentioned several key areas of focus such as upgrading our information systems to drive consistency across our standard operating practices. I want to highlight a few areas where we are making upgrades in the first and second half of next year setting the stage for benefits over the long-term. First, we are upgrading our enterprise-wide labor management platform. This will enhance our time and attendance process and give our field-level managers the ability to schedule our staff more efficiently. We will start to roll out the new system during the first half of fiscal 2019. This is so important as we are a labor company at our core and given my comments around labor challenges, this system will provide better insight and controls around our labor processes. We are also improving our human resources capabilities with a new human capital management HRIS system. This new system will automate and transform many core HR areas such as workforce management, reporting and analytics, and HR compliance management. We are also making other investments to leverage a cloud-based data warehouse strategy. The goal is to ensure that all of our systems will be seamlessly linked together providing us with easy, fast access to data. The key benefactor of this cloud-based strategy will be our legacy ABM and GCA enterprise resource planning systems. As you know, we have been operating on two ERP systems through this year of integration. We took a responsible approach to making investments in internal processes and systems given the upcoming convergence to one centralized platform. We look forward to the efficiencies and improvements this unified platform will bring to our internal control framework. In addition to these transformative implementations the enterprise continues to focus on processes that will support our back office operations. We have made progress on a number of fronts in our new shared services environment which has had a positive impact on our cash flow generation. During the quarter we generated $60 million of free cash flow and we are now poised to deliver more than $175 million for the year. Given our successful execution during the third quarter and our unchanging view for the near-term macroeconomic labor environment, we are reiterating our 2018 guidance outlook today. Before I turn the call over to Anthony I wanted to note that we have recently celebrated our 1-year anniversary of acquiring GCA. The past 12 months have been an amazing period of teamwork and change management. I have seen our employees working together diligently to integrate our two distinct organizations including navigating multiple systems and delivering on the high end of our synergy targets. As we close out our first year as the new stronger ABM, I want to thank our entire organization, all 130,000 employees for their dedication and commitment. Anthony?
Anthony Scaglione: Thanks Scott. I will now review the details behind our third quarter results. As Scott just mentioned we completed our acquisition of GCA Services Group on September 1 of last year. As a result, this will be the last full quarter in which our GCA business will be reflected on an inorganic basis for all impacted segments. Of course, our overall results for future periods will continue to reflect higher amortization, interest expense and share count dilution resulting from the transaction. In addition, our government services sale occurred in May 2017 and this will be the last quarter in which any year-over-year comparison reflects this year’s absence of that business. Now on to the third quarter, total revenues for the quarter were $1.6 billion, up 23.2% versus last year driven by GCA revenues of $260 million and organic growth within the Business & Industry, Technical Solutions and Technology & Manufacturing segment. More specifically, our organic growth rate for the quarter was 4.5%, which includes $8 million of higher management reimbursement revenue, primarily in our B&I and Aviation segments. On a GAAP basis, our income from continuing operations was $33.7 million or $0.51 per diluted share versus $32.9 million or $0.58 per diluted share. Last year’s GAAP income from continuing operations reflected favorable adjustments for certain tax positions of approximately $15 million. Our results also reflect the following items that are predominately related to our acquisition of GCA, higher amortization of approximately $11 million, which is embedded within each impacted reportable segment, higher interest expense of $10.1 million, and an increase in weighted average shares outstanding on a diluted basis. Excluding the impact of segment related amortization, our overall operational results benefited from GCA related revenue predominantly within Education, Technology & Manufacturing and B&I segment. On an adjusted basis, income from continuing operations for the quarter was $38 million or $0.57 per diluted share compared to $29.1 million or $0.51 per diluted share. During the quarter, we had adjusted EBITDA of $88.4 million at a margin rate of 5.4% compared to $57.3 million at a rate of 4.3% last year. Turning to our segment results, which are described on Slide 12 of today’s presentation. As we have noted all year, our 2018 operating segment results reflect the remapping of overhead expenses related to GCA, including allocation and additional amortization. Therefore, year-over-year comparisons will not be meaningful. As a result, we have provided full year operating margin guidance to help you track our segment performance for this year. Starting with B&I, B&I achieved revenue of $735 million, growing 12.7% versus last year driven by $45 million of additional revenue related to GCA and solid organic growth both domestically and internationally. B&I’s organic growth this year has benefited from our UK-based TSR win. Additionally, organic growth was also driven by expansion through key clients and an increase in management reimbursement revenue. Operating profit for the quarter was $38.9 million for a margin rate of 5.3%, reflecting approximately $2 million of amortization related to GCA. Excluding GCA-related amortization, the operating margin for B&I was 5.5% this quarter. Overall, B&I has proven resilient and we are pleased with how well the team has executed this year. We continue to believe B&I will produce operating margins in the low 5% range for the full year as we have previously guided. Aviation reported revenues of $256.8 million, with an operating profit of $9.7 million and a margin of 3.8% for the quarter. Results were generally in line with our expectations as a slight decline in revenue versus last year was primarily attributable to the loss of certain airline contracts. Also, as you will recall last year we had the revenue and margin associated with a single contract which we have since terminated. While the quarter was flat from a top line perspective, we are encouraged by several recent catering logistic cross-sells that we have won, solidifying our entry into that market and proving our ability to compete as a provider of specialized services in the industries we serve. This year’s operating margin increased by more than 170 basis points year-over-year as last year’s margin reflects the terminated contract, which I just referenced. GCA had a relatively small impact on this segment. For the remainder of the year, our renewal strategy remains in focus and we believe it will be prudent to remain conservative in light of the current labor market. Last quarter, we discussed the acute impact this labor cycle can have on specific segments such as Aviation and Education. Given these considerations, for the full year, we now expect Aviation operating margins in the high 2% range compared to our previous outlook for 3%. Moving to Technology & Manufacturing, Technology & Manufacturing revenues increased to $231 million for the quarter, up 43% versus last year. This was due to strong expected organic growth during the quarter in addition to $60 million of GCA related revenue. Organically, we expanded with our high-tech clients and from tag revenue through both the GCA and Legacy ABM portfolio. Operating profit was $16.9 million and our margin was 7.3% reflecting new wins and better margins and prudent expense management. Including amortization, we still expect operating margin in the low 7% range for the full year. Revenue in Education was $211 million, reflecting $144 million in GCA business. During the K-12 summer buying season, we won key contracts with the Huntley Community School District in Illinois, one of the state’s fastest growing K-12 district as well as the Portland Public School system in Michigan. However, the Education segment continues to experience a greater degree of pressure related to labor, which among other things, impacted some renewals and buying decisions. While we are slightly disappointed in our total number of K-12 awards, we remain encouraged by our pipeline in the higher education market, which is year round. We are also targeting first-time outsourcing opportunities across the segment as well as improving the retention moving forward. Operating profit for the quarter was $12 million for a margin of 5.7%. Excluding the impact of amortization, operating margins were 8.8% as this segment is impacted most from GCA. On a total basis, we believe we will end the year in a high 4% operating margin range compared to our prior guidance of low 5%. Healthcare revenue was $69 million for the quarter, including $7 million from GCA. Operating profit was $2.5 million and operating margin was 3.7%. Excluding GCA and amortization, operating margins were 3.9% for the quarter. We continue to expect to end the year with operating margins in the low 4% range. Finally, Technical Solutions, they reported revenues of $122 million, a year-over-year increase of 14% for the quarter. As expected, based on the pace of bookings and the pipeline we discussed in the first half of this year, Technical Solutions had one of their strongest quarters ever as project and revenue churn normalized. For the quarter, margins were 9.8% compared to 8.8% last year primarily due to greater operating leverage driven by higher revenues. Overall, strength in our domestic business more than offset underperformance in the UK. Operating margins for the year are now expected to be approximately 9%, above the high 8% range we previously announced. Looking forward, all of our industry groups will be focused on our contract renewal cycles and retention while continuing to grow our already robust sales pipeline. Turning to cash and liquidity, cash flow from operations was roughly $74 million for Q3. We are seeing sustained improvements in our management of working capital. Due to this better management and timing of certain capital investments, we expect to end the year with free cash flow between $175 million to $200 million, excluding the proceeds from last quarter’s swap termination. We remain focused on improving our front and back office processes as free cash flow remains a key metric for our organization. We ended the quarter with total debt, including standby letters of credit of $1.2 billion and a bank adjusted leverage ratio of 3.6x. I am pleased at the pace of our de-leveraging to-date. During the quarter, we paid a quarterly cash dividend of $0.175 per common share for a total distribution of $11.5 million to shareholders and our Board has approved our 210 consecutive quarterly cash dividend. Turning to the macro environment, given the continued uncertainty surrounding today’s labor environment and the potential impact any change could have on our results, we believe our existing guidance outlook range remains appropriate due to the actions we have taken to-date. The outlook continues to contemplate the full year annualized 60 basis points headwind we are facing due to the current operating environment. While the mitigation efforts we have put in place allow us to achieve our full year guidance, we see no sign of significant labor pressure abatement or worsening for that matter and we believe it’s too early to predict a longer term impact. However, we are actively managing our labor and customer renewal cycles and feel confident that our outlook will not materially worsen from our full year margin run-rate. In addition, we remain steadfastly committed to our strategic investments in systems to further drive operating and back office efficiencies. As Scott discussed, investments that are fundamental to these initiatives include the first half and second half launches of our cloud-based human capital management and time and attendance systems as well as our new ERP system that will converge our legacy GCA and ABM infrastructure. In closing, we are formally reiterating our GAAP and non-GAAP guidance outlook for the year. We continue to expect GAAP income from continuing operations to be in the range of $1.73 to $1.83 per diluted share and on an adjusted basis $1.85 to $1.95 per diluted share. This guidance assumes a tax rate between 28% to 30% for fiscal 2018. This rate excludes discrete tax items such as the 2018 Work Opportunity Tax Credit and the tax impact of stock-based compensation award, which collectively will be a little more than $10 million in discrete tax items for the full year as we disclosed last quarter. We are currently finalizing our fiscal 2019 tax expectation, including the full impact of the Tax Cuts and Jobs Act. At this time, while we continue to benefit from a lower overall federal tax rate. There are a number of items which did not impact us in fiscal 2018 that will come into effect in the new calendar year. Mainly limitations or deductions related to meals and entertainment and executive compensation and executive compensation plus some form of provision. In addition, we also expect a benefit related to FAS 123R to decrease in fiscal 2019. As always, we will provide you with a detailed discussion of our fiscal 2019 outlook in December, but I hope this additional context will help inform some of your expectations for next year. With that operator, we are now ready for questions.
Operator: Thank you. At this time we will be conducting the question-and-answer session. [Operator Instructions] Our first question comes from the line of Michael Gallo with C.L. King. Please proceed with your question.
Michael Gallo: Hi, good morning.
Scott Salmirs: Good morning Michael.
Michael Gallo: Yes. I just wanted to delve in a little bit on the obviously labor has been and continues to be a headwind. So, you’ve had a little more time now with some of the mitigation and other efforts around technology. I was wondering if you’ve been able to kind of dimensionalize what kind of that – whether you think in time you can mostly offset, partially offset, completely offset. Obviously, pricing is always a mixed discussion, but I guess in terms of kind of controlling what you can control just without – just assuming for a second that you don’t have pricing, how much you can kind of offset internally. And then I was wondering if there might be some opportunity given your size and scale that you use the bundling strategy perhaps as a way to get price -- without getting price, but by perhaps offering greater scope of service?
Scott Salmirs: Yes. It’s a good question and I think all things being equal in the labor market and I think that’s a big caveat, right. Because generally speaking we don’t know which way labor is going, is it going to stay the same or the pressure is going to increase or will they abate a little bit. But assuming all things being equal, I think we have done pretty well so far in terms of mitigating, and we talked about a 60-basis-point push annualized and that we will be able to overcome 40 basis points of it. So, we are pleased with where we are and as we go into next year with that as kind of the baseline, we will look at some of the tools that we are putting forth on the IT side, specifically the new HRIS system sort of to help us in terms of workforce management, and then the new time and attendance system that’s going to be cloud based, that’s going to have tools for scheduling alerts for our managers in terms of overtime. So there is a lot of good stuff coming our way to help us mitigate. And I think the real question Michael, is whether or not those tools will just allow you to stay even right or that will help you accelerate. And that remains to be seen, but we are pleased about where we were heading ahead of time with our investments to help us mitigate that. And then cross selling is always a big thing for us, right, because the more you can bundle services, it really does two things, it helps you get stickier with the clients. So it should push out your retention and your ability to retain, but also you have a chance to increase your margins, right, because typically it’s the same amount of overhead from an SG&A standpoint when you are adding services and you have one account manager. So I think when you bundle all that together, we feel like we are in pretty good shape, but the big wildcard for not just ABM, but for everybody is where will labor markets go in 2019.
Michael Gallo: And just as a follow-up to that, Scott, I mean obviously a lot of these services are done in-house everybody is dealing with the same local market labor pressures, so I was wondering if you have had any discussions from perhaps people that didn’t outsource traditionally who might be looking at this inflationary labor market and might now be more interested in outsourcing than they were in the past?
Scott Salmirs: That’s the longer-term hope. We are actually organizing some of our sales force in certain verticals around targeting first-time outsourcing. We think it’s particularly ripe in the education sector, because so much of that is in-sourced right now, whereas less of that in B&I. B&I is a much more mature market predominantly outsourced already. So I think we are trying to be very strategic about where we place our sales assets and also how we structure our commission program, so people are incented to go after an outsourcing, which is a longer term play than going after a competitive bid.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Andy Wittmann with Robert W. Baird. Please proceed with your question.
Andy Wittmann: Great, good morning. Just wanted to kind of dissect the quarter a little bit to understand some of the moving pieces, actually, I guess you guys are pretty clear on the call that you are – the outlook that you laid out last quarter for the labor market headwinds are really almost essentially the same today as they were three months ago. At that time, you talked about how on an annualized basis you are seeing -- you are expecting about 40 basis points net headwind to margins. It looks like that’s still in place, I guess my question is as I look at kind of the new segment margin guidance that you gave here, you took it down a smidge in aviation and education. Those are a couple of the markets that you highlighted last quarter as well with some labor market headwinds, you took it up in technical solutions. Given that’s the case that the aviation and the education are more in the annuity and the technical solution is more of a project-based business, does that imply that there was some degree of labor inflation that you saw this quarter, it was maybe a little bit different from what you had seen last quarter or is this just a clear view after operating on these new segments for a longer period of time?
Anthony Scaglione: So in the quarter we saw incremental labor against our original forecast specifically in those two segments that you just highlighted. But again we put in place mitigating actions that we landed as expected but slightly off on the labor line.
Andy Wittmann: Okay. So what – can you give us some bookings as to maybe how labor on the annuity type business maybe varied versus your initial expectation there?
Anthony Scaglione: We saw about 15 basis points more in the quarter than what we would have expected.
Andy Wittmann: Okay. And then just digging into GCA a little bit, it looks like you guys are making the comment that you are operating at the high end of the synergies, can just – Anthony just refresh us about what the run rate of the synergies that have been actioned already was at the end of the quarter and then just give us some context of that how much of a tailwind that’s going to be to your profitability next year?
Anthony Scaglione: Sure. So we are still guiding for this full year in your real life synergies of roughly $50 million at the midpoint and that will guide towards a the run rate heading into 2019 at the higher end of $25 million to $30 million range. The synergies thus far are pretty much completed by the end of Q4. There is a little bit that’s going to be in fiscal ‘19, but for the most part those actions have already been taken place.
Andy Wittmann: Okay. Just continuing to go down the GCA tunnel here a little bit, there were some comments in your prepared remarks about the education end market, you went through kind of faster, it sounds like you mentioned there are some retention issues given that the labor pressures have been a little bit higher there, basically it sounded like you can come to terms because the customer was thinking that they didn’t have to pay for the higher labor, can you just talk a little bit maybe Scott more about what you are seeing in that end market in particular, it sounds like there is a bit of a retention issue there and sounded a little bit disappointed, so taking a little bit more meat on that bone would be helpful for us?
Scott Salmirs: Sure. So I think from an education side, I would look this in two ways, I will look at it kind of top line sales and then also from the labor perspective. And I think the sales wasn’t what we hoped it would be, it was a little bit essentially flat. And I think I have to take – I have to be measured in my reactions that all because it was a year of integration, right. This was the year we were getting our operational teams in line. We were getting our sales team shaping up. We just appointed Head of Marketing as a permanent position, so there is a lot of moving parts to sell, but I still would like to seeing us doing a little bit better on the top line there. And then on the bottom line, it was labor markets, right. This is tough, we have always talked about how education for us is kind of stratified on the bottom half of the United States which tends to be non-union lower wage market. So you get more turnover more wage pressure so – and I will tell you, we are pretty optimistic about next year. We have a project that we have in place now where we are specifically targeting education facilities that are in-source right now where we think we had an opportunity over the next 12 to 24 months to try to flip that and we are aggressively going after contracts that we think are going to be coming out to bid in the next 12 months. So our education team now that they are solidified and they are operating as one unit and soon be on one ERP system, midyear next year, I think there is a lot of white space there for us over the long-term.
Andy Wittmann: Okay, great. I guess maybe one more for now from me, we have seen in other service companies different end-market health between domestic U.S. markets and some level of degradation in the UK everybody points to Brexit. So it’s hard to attribute it to something or another, but just given that you do have some exposure to the UK, I wanted to kind of get your take on what you are seeing there and how that could affect your business on a go forward basis?
Scott Salmirs: Sure, I mean it’s so interesting right, because Carillion collapsed in January of this year, I think it was January 15. And I think a lot of us were pretty optimistic that it would create a bigger market space and bigger opportunity and it really didn’t materialize and we are seeing that from a lot of our competitors across the space as well, margins have compressed and it’s been even tighter. And I think a lot of that has to do with the UK economy itself whether it’s Brexit or not remains to be seen, but the UK market is certainly tightened up and it is 100% counterintuitive compared to what’s going on, but it’s a reality of what we are facing. We are refocusing some of our services to go to places where we think could be higher growth. We have been traditionally focused on the retail segment over there as a larger portion of the market and we are going to be moving more towards commercial, maybe manufacturing and really trying to leverage some of our U.S. clients, because they are still having big presence in the UK despite everything you read about Brexit. So we are optimistic about the UK, but certainly this year did not pan out as we had hoped.
Andy Wittmann: Okay, thanks for that color. I am going to yield the floor and maybe pop back in at the end. Thanks, Scott.
Scott Salmirs: Very nice.
Operator: Thank you. [Operator Instructions] Thank you. Our next question comes from the line of Marc Riddick with Sidoti. Please proceed with your question.
Marc Riddick: Hi, good morning.
Scott Salmirs: Good morning.
Marc Riddick: I was wondering if you could give an update on where we are with tax pressure and some of the intakes that you have received there and kind of the message that we are seeing so far?
Scott Salmirs: Yes. So tag pricing, we talked about this for the last few months as one of our bright spots from a technology standpoint and the fact that the field was so excited that we were rolling out some technology that they felt was useful. We are real happy with where we are in our B&I segment, which is our biggest segment. We are over 75% adoption on tags that are eligible, not all tags are right for the tag price, but 75% adoption and I think in this early stage, Marc, it’s less about for us did it increase your tags, did it increase your bottom line, I think we will start understanding that over the coming months and realistically years as our AI component starts figuring out. You know on a particular building you could start moving your margin in a different place and that particular segment, law firms pay more than investment banks. So over time, we will start understanding kind of the top line and bottom line implications. For me, given all the challenges in the current market, I am excited over the fact that it used to take 2.5 days to generate a tag whereas now it could just take a few hours between inputting it and getting it into our work order system, which we are making some enhancements in 2019 to even shrink that time period. So I am particularly excited that our teams are embracing the technology, they are using it and it’s allowing them to spend more time managing their staff with clients, collecting cash, all the things that we want them doing rather than processing paperwork. So, I think it’s a two-part story right now, use it, adopt it, become more efficient, what has this done to increase sales and increase our bottom line.
Marc Riddick: And just as a reminder, so ballpark around when do you start to begin to anniversary when it rolled out, because I guess then you would start to at least begin to start gathering year-over-year comparisons and what have you right?
Scott Salmirs: Yes, we first started rolling this out in Q1 of last year and really the anniversary from a ramp up standpoint is really the second half of fiscal 2018. So, that will be the first time that we have adequate data to make those correlations, Marc.
Marc Riddick: Okay. And then one last thing, I mean you talked about the efforts on the human resources side that would be layering in from a technological standpoint. I was wondering does that – is there much in the way of overlap for that data, will that information will be able to begin to collect with something like tag pricer or were those – would those be kind of viewed it separately?
Scott Salmirs: It’s interesting. While it’s separate, we are putting together a new IT strategy which is a data warehousing strategy where we are basically going to have one repository for all information. So over time, we will be pulling from one area. It just remains to be seen which data points we will be able to pull and turn into data analytics.
Marc Riddick: Okay, that makes sense.
Scott Salmirs: I appreciate it. Thank you.
Operator: Thank you. Ladies and gentlemen, there are no further questions at this time. I will turn the floor back to management for any closing comments.
Scott Salmirs: I just wanted to thank everybody and welcome everybody to the fall now that summer is over and we are excited about where we are heading. We are excited about kind of our new sales culture and how we are navigating the labor markets. We think there is just lot of good positive things happening at the ABM and we are excited to come back to you at year end and update you on how we closed out the year and how we are going to guide to 2019. So, thanks everybody.
Operator: Thank you. This concludes today’s teleconference. You may disconnect your lines at this time. Thank you for your participation.